Operator: Greetings and welcome to the Cognex First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] It is now my pleasure to introduce your host, Greer Aviv of Investor Relations. Thank you. You may begin.
Greer Aviv : Thank you, operator. Good morning, everyone, and thank you for joining us. Our earnings release was published yesterday after market close and our 10-Q was filed this morning. On today’s call, we will refer to materials available on our Investor Relations website. We are joined here today by Rob Willett, our CEO; Matt Moschener, our President and COO; and Dennis Fehr, our CFO. Today, we plan to share several key messages with you, including the CEO transition announced yesterday, our new five-year strategic objective, our performance in the first quarter and our expectations for the second quarter. After prepared remarks, we’ll open the lines for Q&A. Both our published materials and the call today will reference non-GAAP measures. You can find a reconciliation of certain items from GAAP to non-GAAP in our press release and earnings presentation. Today’s earnings materials will contain forward-looking statements, including statements regarding our expectations. Our actual results may differ from our projections due to the risks and uncertainties that are described in our SEC filings, including our most recent Form 10-K. With that, I’ll turn the call over to Rob.
Robert Willett: Thanks, Greer. Hello, everyone, and thank you for joining us. I’m pleased to announce that Matt Moschner, President and COO will succeed me as CEO effective June 27. While this may seem fast, I can assure you this transition is the culmination of a thoughtful multi-year succession planning process with our Board of Directors. Over the past five years, we have focused on developing and preparing a number of leadership candidates. And it’s very clear to me and the Board that Matt is absolutely the right leader to see Cognex through its next phase of growth. As you can see on Page 3 of the earnings presentation, Matt has been at COGNOID since 2017. Throughout that time, Matt has successfully navigated a range of challenges and growth opportunities, which proved his readiness to assume the CEO role, including successfully leading our engineering organization, overseeing our logistics growth strategy and managing the successful global integration of Moritex, the largest acquisition in company history. Matt also led our supply chain recovery efforts in 2021 and 2022 addressing formidable challenges, including COVID disruptions, chip shortages and a fire at our key contract manufacturer. I am honored to have served Cognex and our shareholders as only the second CEO in our company’s 44 year history. Since I joined, we have grown revenue from $175 million in 2009 to over $900 million in 2024, while supporting a strong culture of innovation. This is the right time for me to retire from my successful tenure as CEO and I look forward to continuing my role on our Board and advising Matt in his new position. Let me now turn the call over to Matt to give you a preview of our new five-year strategic objectives.
Matt Moschner : Thank you, Rob. I am excited for the opportunity to lead Cognex as we embark on our next phase of growth. I extend my gratitude to Rob for his mentorship over the past eight years and for entrusting me with the responsibility to preserve and enhance this exceptional company. At Investor Day, I will introduce new strategic objectives, which are outlined on Page 4. Over the next five years, we will concentrate on three key goals that will generate long-term shareholder value. These include: the first, being the number one provider of AI technology for industrial machine vision applications; the second, providing the best customer experience in the industry; and the third, substantially expanding our served customer base. Taken together, we expect this strategic focus to yield significant results, including Cognex achieving a one or number two position in all major markets that we serve. We will discuss these strategic objectives in more detail at our 2025 Investor Day in June, and we hope to see many of you in person at our Natick headquarters for this event. On Page 5, you can see the high-level agenda for Investor Day. Starting on the evening of Monday, June 9th, we will host a welcome reception, which will feature an engaging customer panel discussion and ample time to interact with members of the Cognex management team. On June 10th, you will hear presentations from Cognex leaders emphasizing our path to achieving our strategic objectives, as well as our updated financial framework and capital allocation strategy. We also have some cutting-edge product demos planned, which you will be able to see first-hand if you attend in person. We look forward to discussing these objectives in more detail at our Investor Day. We have allotted ample time for Q&A on June 10, and I look forward to addressing your questions at that time. Rob and Dennis will be taking the questions on today’s call. I’ll turn the call back to Rob to highlight the first quarter performance.
Robert Willett: Thank you, Matt. Turning now to first quarter results on Page 6. We remain focused on our two strategic initiatives. First, we continue to drive innovation. We launched the In-Sight 8900 in Q1, bringing the power of embedded AI to our OEM customers. Second, we continue to support our sales force transformation and expansion enabling our sales team to reach a broader customer base and acquire new accounts. We will provide a more detailed update on this initiative at Investor Day. Looking at Q1 performance, revenue grew 5% year-on-year on a constant currency basis, representing a third consecutive quarter of organic growth. Higher revenue from the Logistics and Semiconductor industries was partially offset by weakness in the Automotive industry, while broader Factory Automation revenue remained stable. Operating expense discipline contributed to a year-on-year expansion of adjusted EBITDA margin of nearly 500 basis points, ahead of our guidance. This strong increase demonstrates the leverage our business delivers on incremental revenue and our continued focus on cost management. While there have been modest improvements in global PMIs, overall, the macroeconomic environment remains mixed with increasing uncertainty driven by geopolitical and tariff-related risks. As always, we work closely with our customers and suppliers to assess any changes to their business plans and even more so in an environment that is changing quickly. At this time, we have not seen material changes in purchasing activity or order cancellations. However, this is a fluid situation. We also expect to substantially mitigate any direct cost impact from tariffs in effect as of the time we published this earnings release. Dennis will provide more details later in the call. Longer term, manufacturing and logistics will increasingly rely on automation, demanding greater throughput, capacity, traceability and quality, all at lower costs and with less labor. As the global supply chain shift to a more regional structure, Cognex stands to benefit from these trends. I now want to provide you with an update on our product innovation. We’re excited about the launch of the In-Sight 8900 smart camera. As you can see on Slide 7, this is the compact, fully embedded vision system powered by AI, engineered to tackle some of the most complex manufacturing challenges with ease. The In-Sight 8900 brings the impressive functionality of AI to OEMs, combining AI-powered rules-based tools in a single powerful vision system. Whether the task is simple or complex, the In-Sight 8900 enables our customers to optimize automation with a compact design that integrates effectively into large-scale equipment, such as that widely used in electronics component manufacturing and food & beverage packaging machinery. As we continue to execute our AI-driven product strategy, we will incorporate AI into more products, making them easier to use and able to solve applications in a more intuitive and human like way. Turning now to what we have seen across our end-markets, which you will find on Page 8 of the earnings presentation. To increase transparency, we are adding two additional end-markets to our quarterly disclosure. The first is semiconductor and the second is packaging, which includes fast-moving consumer goods and healthcare. Our discussion of 2025 trends is based on current observations, while acknowledging the heightened macroeconomic uncertainty. First quarter growth in logistics and semi markets was somewhat offset by order timing in consumer electronics and ongoing weakness in the Automotive sector. Starting with Logistics. Revenue continued to grow double-digits year on year. This is the fifth consecutive quarter of growth and marks the highest level of revenue since Q1 of 2022. As of today, for the full year, we continue to expect strong growth in Logistics. Our outlook reflects positive momentum driven by ongoing investments by large e-commerce players and the further penetration of the broader logistics market. Moving on to Automotive. As expected, revenue in Automotive was down year-on-year with weakness across all geographies. This reflects continued declines in EV battery investment and tentativeness in large capital projects across the broader industry. Looking to the full year, we remain cautious about the outlook for auto, as we have previously discussed. However, we anticipate a more modest decline in 2025 versus last year, which declined 14%. Turning our attention to Packaging. Our business remained relatively stable in Q1 and we’re beginning to see a modest recovery in healthcare following the post-pandemic slowdown. Packaging is now our third largest market and is poised to become a more significant part of our business over time. This market is particularly promising for us with our new product offerings that are easy to use for our customers. We have been proactively pursuing the packaging market through our sales force transformation and expansion investments targeted at reaching a broader cross-section of customers. For the full year, we expect our Packaging business to remain stable with increased penetration opportunities enabled by our sales force transformation efforts. Turning to Consumer Electronics. Q1 revenue was down year-on-year, primarily due to projects’ timing. As promised last quarter, we are providing an update on our full year outlook, which currently assumes modest growth. This expectation does not include any potential geographic shifts in production due to tariffs. Regarding this year’s seasonality, we expect Electronics’ revenue to be relatively similar in Q2 and Q3, unlike 2024 when Q2 was more pronounced. We believe Consumer Electronics has positive long-term trends, and we are well positioned in the market. Moving now to semi. Semi remains a robust market for us with widespread growth driven by increased investment from major machine building. We continue to see demand driven by high bandwidth memory chip investments. However, we have a more cautious outlook for the full year due to increased uncertainty from trade policy and tariffs and the secondary impact on demand for chips. Let me now hand it over to Dennis to walk you through the financial results and the outlook for the second quarter.
Dennis Fehr: Thank you, Rob. Our quarterly financial highlights can be found on Page 9 of our earnings presentation. At a high level, we are pleased with our Q1 results. Our focus on profitability is yielding strong results with an almost 500 basis point year-on-year increase in our adjusted EBITDA margin. When I joined about a year ago, one of my priorities was to enhance capital efficiency. I am pleased to report that results are now visible in our numbers. This trailing twelve months free cash flow conversion of 120% and more than $100 million returned to shareholders in the form of share buybacks in Q1, the largest quarterly buyback since the first quarter of 2022. Looking more closely at the first quarter results on Page 10. Revenue of $216 million was above the midpoint of our guidance. This represents 2% year-on-year growth or 5% on a constant currency basis. In Q4, we noted accelerated demand late in the quarter, which pulled revenue forward. If we adjust for this, first quarter revenue growth would be modestly higher. I will now discuss geographic revenue trends on a constant currency basis. The Americas led our year-on -year growth in the quarter, expanding 20% on the back of continued strength in logistics. Revenue in other Asia was roughly flat. Europe declined 7% due to a weaker Automotive market and Greater China was down 9% due to lower consumer electronics revenue, which was mostly timing related, while we saw strength in other factory automation. Turning to margins. Adjusted gross margin was 67.6% in the quarter, in line with our guidance. This represents a decline of 120 basis points from 68.8% a year ago, which was mainly driven by unfavorable mix and FX headwinds. Higher logistics contribution and lower consumer electronics revenue drove the mix effect. Pricing impacts were offset by productivity measures. Adjusted operating expenses declined 8% year-on-year in the quarter and 6% sequentially. The reduction was driven by lower overall headcount, disciplined cost management, lower stock expense and FX. In recent quarters, we have highlighted our increasing focus on bottom-line profitability, which is yielding substantial results. You can see this in our numbers with the 490 basis points year-on-year improvement in adjusted EBITDA margin to 16.8%, which is well above the high end of our guidance and consensus. We achieved this strong performance through improved cost discipline and operating efficiency. At our upcoming Investor Day, we will introduce our updated long-term financial framework, which underscores our commitment to profitable growth and outlines the path towards further increasing adjusted EBITDA margins. Diluted earnings per share on a GAAP basis were $0.14 up from $0.07 a year ago and adjusted diluted EPS was $0.16, up from $0.11 a year ago. The increases were driven by higher margins resulting from revenue growth and lower operating expenses. Our focus on profitability and disciplined working capital management drove another strong quarter for free cash flow. The first quarter cash generation of $38 million compared to $10 million in the year ago period. Trailing 12 months free cash flow conversion was 120% of adjusted net income. We have also made significant progress in driving improvements to our cash conversion cycle, reducing the number of days by more than 70 days year-on-year. Considering strong cash generation and attractive share prices, we deployed capital opportunistically returning $116 million to shareholders in the quarter, including $102 million of stock buybacks, our highest quarterly total in three years. Turning to Page 11. I will now address recent developments in tariffs and their impacts in currency. The tariff situation remains fluid and highly uncertain. Cognex utilizes multiple third-party contract manufacturers to assemble our products in Southeast Asia. We have conducted an analysis of tariff impacts based on those in effect as of April 30, including a universal 10% rate on US imports and the elevated tariffs between The US and China. We believe we can substantially mitigate the direct cost impact of the tariffs resulting in no material impact to earnings per share or adjusted EBITDA margin. While we do not expect an impact on profitability, we do expect a dilution of approximately 50 basis points on adjusted gross margin. Should tariff rates on US imports continue to rise, we would evaluate further actions and cost mitigation efforts to help contain any impact. Longer term, we believe the potential recalibration of global supply chains represents a growth opportunity for us. Cognex has built a strong market position globally and is well positioned to capitalize on any such trends. Moving on to our second quarter guidance, which can be found on Page 12 of our presentation. In the second quarter, we expect revenue between $235 million and $255 million. This range is reflective of a mixed macro backdrop. At the midpoint, this represents modest year-on-year growth compared to Q2 of 2024, driven by our expectation for continued growth in logistics, partially offset by weaker trends in automotive. As Rob mentioned, we expect consumer electronics to be more evenly weighted across Q2 and Q3 as compared to last year, which skewed more strongly to Q2. We also expect adjusted gross margin to remain in the high 60% range, which reflects continued mix headwinds in the year-on-year comparison. We expect adjusted EBITDA margin between 18.5% and 21.5%. The midpoint of this range is comparable to last year, driven by operating expense discipline somewhat offset by gross margin mix. As it relates to cash flow, in April, we made a final tax payment of approximately $16 million related to one-time transition tax on unrepatriated foreign earnings related to the Tax Cuts and Jobs Act of 2017. We expect our adjusted effective tax rate to be approximately 16% compared to 15% in Q2 of 2024 . Lastly, as we mentioned earlier, we will be hosting Investor Day on June 10th in our Natick headquarter. Please reach out to the Investor Relations team to RSVP. We look forward to seeing many of you there. Now Rob and I are ready for your questions. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Joe Giordano with TD Cowen. Please proceed with your question.
Joe Giordano: Hey guys. Good morning.
Robert Willett: Good morning Joe.
Dennis Fehr: Good morning Joe.
Joe Giordano: Maybe I’ll start on the OpEx. Like I don’t want to overreact to any one quarter, but like, that was nice to see on higher revenues in OpEx decline. How much of that - was there anything kind of like more one time-ish in nature there? Like, how should we think about the ability to leverage the remainder of the year and, like, structurally from here?
Robert Willett: Hey, Joe. Yeah, we have been talking in the prior quarters about our focus on profitability and cash cost management and we’re really pleased to see the results both on the OpEx side, but especially the flow through to the bottom-line. So I think we’ll talk a little bit further on Investor Day on our path to profitable growth and how we will manage and also leverage our expense base and that will play an important role when we think about achieving our profitable goal targets. Now to your question in regards to one-time effect in there, certainly FX played a role, right? So if you think about strong dollar in the first quarter, overall, that’s a headwind on top-line and bottom-line, but it’s a tailwind for OpEx itself. From that regard, that brought the absolute numbers down as the dollar has weakened now in the second quarter, certainly you will see some effects of that in the second quarter numbers. But again, softer dollar would be actually better for us both for top-line and bottom-line. So in that regard, we’ll see that as a positive, but we also expect that FX will remain volatile throughout the year. So we’ll watch that closely.
Joe Giordano: Fair. And then, while I have both Rob and Matt on here, like, I had more of a philosophical question about embedded versus kind of computer vision. Like, I know that I mean, clearly, you guys lead in what you do and how you do it. I think there’s just been a push from the market to at least make a claim that you can do more things than you could in the past without having to have embedded. Right? That there’s been technology changes that have allowed that other technology to compete more directly. Like how do you respond to that and how do you think Cognex in the next decade plays in like the combination of those two types of technologies?
Robert Willett: Yeah, thanks, Joe. Well, first of all, think that’s a great question to bring with you when you come to Investor Day. I think you’re going hear a lot more how we and Matt certainly have a vision around that. A quick answer would be customers really want embedded vision. They want the high performance that that provides. It’s easier to implement fewer concerns around security. I could list a long list of reasons and that’s why we have the best smart camera in the world in terms of sales globally. But the cloud and more processing power creates real opportunity and we’ve certainly invested in those and the connectivity between embedded systems and the cloud provide a lot of opportunity to really supercharge a lot of the capabilities you find at the embedded level. So, that’s kind of an exciting future for us. We have very strong vision software capabilities that our most sophisticated customers utilize and I think our combination of strengths in terms of cloud-based AI and embedded systems is really a very powerful thing we expect to do a lot of great things for us in the future.
Joe Giordano: Thanks guys.
Operator: Thank you. Our next question comes from the line of Damian Karas with UBS. Please proceed with your question.
Damian Karas: Hey, good morning, everyone.
Robert Willett: Good morning. Damian. Hi.
Damian Karas: Rob, congratulations on all you’ve been able to accomplish over the years and I know you’re not vanishing from Cognex, but, wish you the best in your retirement and Matt, obviously congratulations on your new role. So maybe just, starting with consumer electronics I would like to hear a little bit more on your thoughts there. I know you mentioned it was down in the first quarter, but you’re expecting modest growth this year. Could you just talk a little bit about what you’re hearing from customers? What trends you’ve been seeing? And just thinking about, like a large smartphone maker looking to move production to India from China, like what are the potential implications for Cognex around that?
Robert Willett: Yeah, thanks. Yes, just to reiterate, consumer electronics was down in Q1, but we obviously expect normal strong sequential growth into Q2 and then modest growth for the year is what we’re currently expecting and then more similar, more balanced revenue between Q2 and Q3 than we saw last year, which was more skewed to Q3. So obviously, I think - want to keep that in mind as we I’m sorry, more skewed equally balanced between Q2 and Q3. Last year it was more skewed to Q2 right? Okay. I hope I haven’t confused you there. I think what that might be useful as you think about qQ2 revenue year-on-year, obviously. We had much - we’ll have had more revenue in Q - for consumer electronics. Okay. So to your question about longer term activity going on, certainly, there’s a lot going on in this industry that there always is and always new features and new form factors certainly are exciting for Cognex as we think about growth in that industry over and over multiple years. There are – that there are also I would say a key factor that we see and we’ve talked about a lot that we continue to see a lot of opportunity in is the replacement of human visual inspectors. This this is an industry where we have a great many human visual inspectors in our technology and the AI we’re developing. It’s very important for that and then certainly cosmetic appearance as well is something that’s critical in that market and will continue to be. You asked about geographic shifts. This is not a new phenomenon, right? Certainly, we’ve been working over multiple years as supply chains have shifted away from China and into markets, including India, as you’ve said, but also Vietnam and other markets. I was in India last quarter. Definitely, we see a lot of activity well planned and rolling out and new lines being built by various suppliers in that market. And I think a lot of ambitions to take not exactly cut and paste, but to take a new generation of manufacturing as they move into other geographies and India particularly and that’s a comment I think I might apply to the world as manufacturing shifts. I don’t think it’s necessarily going to be the same. Manufacturing that shows up on other shores as it leaves certain markets, I think it’s going to be one much richer in automation and I do think that’s one, that really plays very well into Cognex’s hands.
Damian Karas: Well I’m sure we could talk more about that at the, Investor Day. But that’s really helpful. And then, Dennis, I was hoping you could maybe just unpack a little bit more, the tariff details. Like, how much are you importing from China into The US? Like, what are we talking about? What kind of components? What kind of products? And could you just maybe give us a sense, like, how is your footprint in machine vision market compared to your competitors?
Dennis Fehr: Yeah. No. Happy to do that. So in general, our exposure in terms of the supply chain to China is really very minimal. Right? So I think we’re mostly working with contract manufacturers across Southeast Asia. So certainly, there some components, think about it like accessories and then also some optical equipment. With the Moritex acquisition, we got a factory in in China, but we also have another factory in Vietnam and also contract manufacturers for the Moritex business. So in that regard, we are pretty flexible in terms of managing our supply chain and that’s certainly part of kind of the mitigation actions, which I’ve been talking about, which enables us to keep basically or substantially keep the impact of the tariffs to kind of a net neutral to our earnings per share. And that we will drive that flexibility and make use of that supply chain. In that regard, we feel like we’re in a pretty good position, and we’ll manage that going forward.
Damian Karas: Terrific. Best of luck. I’ll pass it along.
Dennis Fehr: Thank you.
Operator: Thank you. Our next question comes from the line of Tommy Moll with Stephens Inc. Please proceed with your question.
Tommy Moll : Good morning and thank you for taking my questions.
Robert Willett: Hey, Tommy.
Tommy Moll : Rob, I wanted to start on logistics, essentially to ask for whatever additional detail you can provide, whether it’s by geography or customer type? You called out e-commerce as one of the drivers for the full year, but any additional detail you could provide on the outlook would be helpful. Thank you.
Robert Willett: Yeah, thanks, Tommy. Certainly, we’re seeing a lot more momentum in our logistics business than we have. It was our fifth straight quarter of strong double-digit growth in that market. We’re certainly seeing the large e-commerce players leaning into investment and that looks strong and we have good sales and funnel activity both there but also just in the broader market in general. Both our large customers are growing and our smaller customers also are showing growth. The growth we’re seeing currently is more skewed towards the bigger players currently, but the funnel is building nicely in the whole business. So, you asked sort of about trends overall. I think the first thing to say is, I think we all know there’s been quite a period of low spending as we came out of COVID and the market is now returning to a strong growth. And those of you who attended the two largest trade shows in the industry, LogiMat in Stuttgart and ProMat in Chicago, we have seen kind of just the level of activity and the number of visitors and the Cognex, the interesting Cognex technology that exists there. So, a lot of underlying strength, I would say. In terms of maybe some of the trends that we’re seeing, I would say that the trend is towards driving more productivity and throughput through existing distribution centers than sort of the massive build out of new distribution centers we would have seen five years ago. And there’s so much activity that goes on in existing distribution centers that is ripe for automation and vision, not just barcode reading, but vision in general. Here, I’m thinking of areas like inbound, dock door processing of pallets that are being depalletized and sent out. And kind of it’s difficult and a bottleneck with a lot of labor and a lot of variation where your vision and Cognex technology is really able to make a difference. Certainly, we’re enjoying, what we see is the beginning of a pickup in our parcel business. We’ve been in that market for a long time and we’re recognized in terms of the best presentation scanners in the market for reading inbound parcels. But here now with our tunnels and new machine vision technology that we’re bringing to that market, There’s a lot of opportunity. Obviously read about what’s going on in that market. A lot of change and a lot of drive towards a greater productivity and efficiency and we’re looking forward to capitalizing on that and we can see the beginning of that. But that’s these are long, big capital projects. So I think of them as long term things that will pay off very well for us rather than something you’re going to see necessarily in the near-term, particularly in the current environment. So it’s a bit of a color for you. Hope that’s helpful, Tommy.
Tommy Moll : Indeed. Thank you. Dennis, I wanted to take a second bite at the apple here on the OpEx controls, noting that FX was a good guy in the first quarter you just reported. But can you give us any insight excluding the FX impact? Would you still characterize the OpEx dollars as lower year-over-year? And is that repeatable in future quarters where you may show top-line growth accompanied by OpEx declines?
Dennis Fehr: Yes, Tommy, think in general, we have been starting managing the OpEx somewhat second half of last year, right? So we also talked on the fourth quarter earnings call about taking one-time charges, which was part of that was some reorganization of the sales team where we integrated the teams into one unified management structure. In that regard, certainly some of these effects are clearly lasting and I think reiterating what I said before, I think out of our profitable growth it’s very clearly that we can get a lot of leverage to growth and managing our existing cost structure. And that’s really part of driving the bottom-line. And that regard really consider that we will be also going forward laser-focused on the OpEx side and that will be a big part of achieving bottom-line numbers.
Tommy Moll : Thank you, Dennis. I’ll turn it back.
Operator: Thank you. Our next question comes from the line of Andrew Buscaglia with BNP Paribas Asset Management. Please proceed with your question.
Andrew Buscaglia: Hey, Good morning, everyone.
Dennis Fehr: Hey, Andrew.
Andrew Buscaglia: I wanted to get your take on, your comments that you’re not really seeing, much delayed decision making or customer hesitancy yet. First off, does that does that surprise you in the quarter? Do you think a company with a little bit more tied to CapEx cycles would see something like that or see that coming in the future. And then you do talk about a little bit of weakness in auto, which seemed to be maybe slightly worse than you expected. So are you seeing it may be in that segment and maybe a comment on your thoughts on auto for the rest of the year.
Robert Willett: Yes. Thanks. This is a very fluid situation, and there’s a lot of, obviously, volatility in the market. So, but I’ll give you some color kind of on what we saw. We have not seen material changes in purchasing activity or order cancellations currently. We’re keeping an eye on to what degree customers may be buying forward ahead of tariffs. We don’t think that’s particularly significant at the moment in the numbers that we’re seeing. If I look around kind of the world and industries, maybe we just start with the US logistics, the current sentiment seems to be to maintain investment levels, although customers are monitoring potential inflationary trends and other impacts to that CapEx projects. And we tend to have longer lead times and we tend to have better visibility, I think, about spending plans and there as we talked about in the previous question, quite good paybacks on automation and logistics facilities. So I think that would suggest good providing this certain level of confidence, I think, a positive view. Auto, obviously, is a much more difficult industry and we’re seeing a mixed reaction in some instances, we’re seeing international manufacturers increasing or accelerating domestic production capacity and build in in The US. I’m certainly hearing I’ve met with some customers, some in Asia in the last quarter who see the situation and maybe looking to lean into that. But others, particularly, domestic American suppliers, think, are perhaps now much more cautious in light of all the tariff volatility we’re hearing and they are focusing more on cost savings. Healthcare investments seem to be increasing currently and I think that’s probably more of a trend coming out of post-COVID, but there was a high level of spending, and now it’s returning after a very dry period and so, so, yeah, that’s a bit of color there. Let’s move on to China. So, we have we have a significant business in China, and it’s pretty broad across the whole market. Large factory automation and logistics machine builders are taking what I would consider more of a wait and see attitude related to any new products in the United States. Obviously, they’re concerned to see how this plays out. They’re focusing, I think, more of the growth activities into Europe and ASEAN at the moment that would be a trend. So I’d describe that as sort of uncertainty and caution there. Korea, I’m certainly hearing from our Korean customers that they expect to increase investment in The US, but they’re thinking cautiously again about the near term. And then I think our customers in ASEAN, Southeast Asia, outside of China, view this as an opportunity for sure. And I think they see opportunities, particularly as trade tariff deals come signed that they see more manufacturing activity moving into that area. So, it’s a very complicated picture. There’s a lot of uncertainty, but that’s a bit of color on what we’re seeing.
Andrew Buscaglia: Interesting. Yeah, a lot of moving parts. But, yeah, that’s good color. Thank you. I also want to get your take on gross margins in in that, it’s some sort of each quarter, you think you think we’ve seen the bottom here in your margins and they take a little bit lower. And now you got this incremental 50 basis point headwind from tariff routines. Do you expect margins to improve sequentially from here despite that headwind and what were the biggest hits within gross margin in Q1?
Robert Willett: Yeah happy to take that. So I think the two topics which we have been really seeing in this quarter are mix and FX, right? So in that regard, FX headwinds in the quarter, based on where the dollar is right now, we would not see that again in the second quarter. But again, FX may remain volatile. And then, the second item, mix. So I think mix, we have been talking about this for a while, and that’s really a continuous trend as we are seeing logistics to be our strongest growth market. And that’s clearly that with growing logistics much faster than in other areas, we will also see continued mix headwinds to the gross margin. However, I think what we feel like what’s really important is that we see that this volume growth is flowing through to the bottom-line. And I think this is let’s say, a strong adjusted EBITDA margin, which we have been seeing in this quarter. I think we really see that the profitability is coming up and we’re pretty happy about it. So in that regard, we’ll be very focused on bottom-line, and we’ll certainly talk a little bit more about also cost productivity and OpEx leverage when we get into our Investor Day.
Andrew Buscaglia: Thank you.
Operator: Thank you. Our next question comes from the line of Jamie Cook with Truist Securities. Please proceed with your question.
Kevin Wilson: Hey, this is actually Kevin Wilson on for Jamie. Good morning and thanks for the time.
Robert Willett: Hi, Kevin. Good morning.
Kevin Wilson: Congrats, Rob and Matt. And, just wanted to ask about that new packaging bucket that just you play out. There are lot of different end-markets you serve within that, putting healthcare. I’m just wondering you can talk more about the penetration opportunity for those markets, maybe the current degree of machine within adoption there in the competitive landscape in those markets? And then any thoughts on outside of packaging and medical which smaller markets like aerospace in that now two other buckets it might see the most potential for long-term adoption in machine vision growing meaningfully over the next few years? Thanks.
Robert Willett: Yeah, so to increase transparency we added packaging end-markets what we are – by putting out that includes fast-moving consumer goods and healthcare. Again what’s in that is our fast-moving consumer goods includes industries like food & beverage and tobacco, also products like razor blades and diapers. And some of the applications would include packaging and label inspection, OCR, optical character recognition of traceability of products, particularly important in markets like tobacco or pharmaceuticals, high speed barcode reading and then assembly verification. Maybe I think of things like the toys that go into concessions that we see in retail, in interesting market there. So it’s pretty broad based. Healthcare includes, pharmaceutical, medical devices, life sciences, contact lenses, right, overall. Now so just hearing me describe it’s a very broad market, and, there’s a lot of machine builders that supply into that market and then a lot of consumer packaged goods end-users, and many, many, many hundreds of manufacturing plants. And this plays very well, I think, because next to strategy about how we want to develop our technology and our sales channel, because our technology is now easier to use, easier to apply and easy to demonstrate and quick payback into a lot of those plants. As a result, really, of our edge learning technology, we look at a new a new product also like our DataMan 290 barcode reader, very, very powerful, a lot of AI, but very easy and intuitive to set up and see results on. Now, there are so many of those plans and so many opportunities. It’s major reason we wanted to expand our sales force through our emerging customer program where we have territory sales engineers who can make many, many sales calls a week and reach and demonstrate our product to those customers more - more easily. The other thing I think we like about the packaging market is it offers less volatility and cyclicality. It’s broad, and there’s spending that goes on broadly through the cycle in those markets. You asked about other the other area, yeah, certainly interesting markets there. You mentioned aerospace, certainly with increased defense spending. It’s an opportunity for us to call more on those customers. And again, our territory sales engineers are helping us to do that. Generally, volumes tend to be smaller in those kind of markets, right? But it does lend itself very well to some of our products, particularly think of handheld barcode readers reading, turbine blades for engines and other applications like that, which can be easily demonstrated and sold. So, that’s a bit of color on that.
Kevin Wilson: Thanks. That’s very helpful. And then following up on that emerging customer salesforce, which you just mentioned there understanding that the sales transformation efforts, makes sort of quantifying incremental revenue from that cohort more difficult. But just wondering if could provide color qualitatively on how bookings and sales for that less sophisticated customer base have gone in the quarter? And then any thoughts on the OpEx spend associated with emerging customer? Are you considering pulling back costs? Or just anything around OpEx spending, given just how that initiative has performed relative to your targets when you started the program? Thanks.
Robert Willett: Yes. I’ll start with sort of the line and the channel, and I think Dennis may comment a little on expenses. So, when you come to Investor Day, you’re going to hear about a long-term strategy, and a big part of that is substantially expanding our served customer base. So if we go back to what I just mentioned about markets like consumer packaged goods, healthcare, aerospace, getting more into those markets is one of the reasons that we invested in this channel. So, we’re not going to break out quarterly results on that and really, the team itself is quite now integrated into an overall team that refers business and it’s selling much more efficiently and well, whether it’s on more demonstrating sell business or more technically detailed and involved business that our long serving account sales engineers will handle. So but to recap some of the things that we’ve talked about in the past. We added 3,000 new customers through this program last year and that was through the first cohort of sales and territory sales engineers that went into the field and they also generated millions of dollars of referrals for our more experienced sales team and then the second class went in. So our metrics, we would track towards doubling that number of new customers served and the number of activities that they generate overall. And then this year, I think you’ll hear more about that at Investor Day, but, we’re able to kind of manage our level of sales engineers that we have, as we move through now that we have a good base established and a strong pattern of referrals. So we can amp that up or down, as we move forward based on the operating environment that that, that we see. Dennis?
Dennis Fehr : Yeah, no. Just to add, I mean, first of all, as Rob already mentioned, I think we’re not having it really as a separate organization anymore. It’s really merged into the broader sales organization. And then when we think about, like investing into sales capacity and we’ll certainly be thinking about the overall market environment and now in in times of heightened uncertainty, it will be double mindful here. And in general, I think it comes back to my more general OpEx comments I made earlier on the call that we’re laser-focused here and that it’s certainly being part of our profitable growth story to be efficient on OpEx and to leverage our existing expense lines. And that regard, do not expect us to grow the OpEx side or expect that actually to grow it slower than our revenue line and then again, it will be a great discussion on Investor Day.
Robert Willett: Thank you.
Operator: Thank you. Our next question comes from the line of Piyush Avasthy with Citi. Please proceed with your question.
Piyush Avasthy: Good morning guys. Thanks for taking my questions.
Robert Willett: Good morning.
Dennis Fehr: Good morning.
Piyush Avasthy: I think you highlighted reshoring and recalibration of global supply chain as an opportunity. I understand it’s still early and macro environment remains fluid. But have you seen a step up in conversations with your customers? And would be curious to know if it’s any particular end-market or if you could remind us how long does it generally take for these conversations to convert to orders for Cognex?
Robert Willett: Yes, thanks. So this is not a new topic, obviously. We’ve seen efforts by previous administrations, Investment Act to build new fabs and other things in the United States. And so those projects are still some of them moving along and will result in Cognex sales as they are brought up and start to produce. So that’s it. But I think, what we’re contemplating now is, a much larger potential impact on our US business and our US long term growth prospects if the current plan continues to play out and perhaps settle down in terms of the company’s abilities to invest. The conversations I’ve had when I was out in Asia this year so far are sort of, I would say, enthusiasm around that and the opportunity to invest in The U.S market. I think they’re waiting to see kind of exactly how that will play out. But certainly, bringing manufacturing investment to the United States is something I’ve heard a number of very, very large customers talk very seriously about. And, I’ve also heard them talk about the need for increased automation and, you know, fewer humans in that process, because, obviously, labor wages in the United States are much higher than what they might see in other markets. So, they’re very serious about wanting to talk about automation as the answer to that and those are discussions at the beginning. But the notion would be, is these a long term plan? These new automotive plants or new semiconductor plants, as they as they’re pouring onshore, you know, will take a long time to be commissioned and bought up and it’s normally at the end of that process that Cognex vision is sold.
Piyush Avasthy: And I want to go back to China. It was down in the quarter, but I think you expect improvement in consumer electronics in 2Q, 3Q, so I think that should help. But can you elaborate on the trends? I think there’s a bit of anti-American sentiment that’s going on. I don’t know if you sensed that. And I think you have talked about pricing challenges in the region as well. Do you expect pricing to improve as demand picks up or do you think pricing could stay challenged in that region?
Robert Willett: Yes, so overall, our revenue in China was down about 9% on a constant currency basis in the quarter and really that year-on-year. And the whole story there is consumer electronics timing, really. So aside from that, I’d say that our business in China was relatively stable. Automotive has been stronger in China than in other markets. And I think those who study the automotive market can see the power of Chinese automotive and how that’s performing and I think we see that reflected in our business also. And I mentioned some trends around machine builders, which are important customers to us and some caution that they’re seeing currently in that market. You asked about kind of anti-American sentiment. So I’d say most the majority of our customers are large, sophisticated global players, right? So, I think they are very mature and measured how they think about these topics and they’re really interested in performance and value and productivity. But certainly, about a quarter of our Greater China revenue is from smaller local manufacturers where it may be more challenging to have some of those conversations. I would also say that conversations that we’ve seen in the quarter, even from large players tend to be more really understanding our supply chain and the components that go into our products and where they come from. I think we have a good story to tell on that story as Dennis outlined our supply chain is not particularly dependent on Chinese sourcing, which I think gives them confidence that we can go on supporting them globally as the current situation plays out.
Dennis Fehr : Maybe taking your question on the on the gross margin side and on the pricing. I think, in general, certainly, China is a competitive market and I think our strategy, which we put in place here is that we are basically price aggressive from what we call it and minus one and minus two products. So that means older generations and kind of that’s where we are competing, let’s say, call it, with the other players in the market. But I think other than in prior quarters, right, where we have been really also flagging that as a headwind to our gross margins and bottom-line, I think in this quarter, we have been able to offset these pressures COGS productivity and that’s really also kind of the way forward for us. So that we think the first step was to start offsetting it, but certainly in part of our focus on improving the bottom-line, the focus will be that to more than offset pricing pressures and to get actually a positive effect to the bottom-line on the COGS, as well. So I think we’ll need to manage some higher P and L to drive profitability, and that’s what we’re doing.
Piyush Avasthy: Appreciate all the color. Good luck, Rob, on whatever is next, and congrats, Matt.
Robert Willett: Thank you.
Operator: Thank you. Our next question comes from the line of Jake Levinson with Melius Research. Please proceed with your question. And Jacob, is your line on mute?
Jake Levinson: Sorry about that. I’m sure it’s going on. Can you hear me okay?
Robert Willett: We got you. Yeah, hi.
Jake Levinson: So I just wanted to say, welcome, Matt, and congrats, Rob, on the, on the great run. And certainly, after 17 years, I think I think you’ve deserved a vacation at least. So hopefully, yeah, two on them. I just had I know we’re coming up on the hour here, so I just had a quick question for Dennis. But, certainly, your stock is down quite a bit this year even after the rebound here. I know you bought back some shares in the quarter. But can you just give us a sense of how you’re balancing maybe the buyback opportunity versus keeping some cash on a rainy day fund given the uncertain outlook out there?
Robert Willett: I know, it’s great question. I think, first of all, I think the base has really strong cash generation and I think over the last three quarters and if you look at trailing twelve months cash generation, I think that’s been really performing very well. In that regard, we’re certainly mindful about our capital allocation priorities. And on the one side, right, when we think about share buybacks, the long-term objective is here to offset dilution. And with having purchased about $150 million over the last two quarters, certainly not feeling so strongly that we have to buy back more now in the second quarter and therefore, we’ll be probably a little bit more reduced on that side then. But I wouldn’t say yes that we that we feel the need to have a rainy day fund either, right? It’s much more of our, like, also preserving m and a firepower, which is also an important part to our capital allocation strategy.
Operator: Again Jacob, is your line on mute again?
Jake Levinson: Yes. That’s everything for me. I appreciate the time and I’ll see you folks in June.
Robert Willett: Excellent. Looking forward to it.
Operator: Thank you. And we have reached the end of the question-and-answer session. I would like to turn the floor back to Matt Moschner for closing remarks.
Matt Moschner : Thank you for joining us this morning. We look forward to seeing you all at Investor Day in June and speaking with you again on next quarter’s call.
Operator: Thank you. This concludes today’s conference and you may disconnect your lines at this time. We thank you for your participation.